Operator: Good morning, ladies and gentlemen, and welcome to the Delta 9 Q3 2021 Financial Results Conference Call. [Operator Instructions]. And just as a reminder, this call is being recorded today, November 15, 2021. I would now like to turn the conference over to Alexa Goertzen. Please go ahead.
Alexa Goertzen: Good morning, everyone, and welcome to the Delta 9 Cannabis Q3 2021 Earnings Call. At this time, all participants have been placed in listen-only mode. Following the presentation, we will open the line for a question-and-answer session for financial analysts. Delta 9 would like to remind listeners that today's call may contain forward-looking statements that reflect the company's current views with respect to future events. Any such statements are subject to risks and uncertainties, which could cause results to differ materially from those projected in the forward-looking statements. For more information regarding risks and forward-looking statements, please refer to the Delta 9 Cannabis Inc. public filings, which are available on SEDAR. I would now like to turn the call over to Delta 9's Chief Executive Officer, John Arbuthnot.
John Arbuthnot: Thank you, Alexa, and good morning, everyone. Thank you for taking the time to join us for Delta 9's Q3 2021 Earnings Call. With me this morning is the company's Chief Financial Officer, Jim Lawson; and our VP of Corporate Affairs, Ian Chadsey. Our earnings press release, Q3 2021 financial statements and management discussion and analysis have now been made available on SEDAR and our company website. And with that, let's begin. Through the first 9 months of 2021, the Canadian cannabis industry has continued to expand, posting retail cannabis sales of $357 million in the month of August based on figures from Statistics Canada. This is up 44% over the previous year. Annualized retail cannabis sales in Canada are now on pace to exceed $4.28 billion that's up from $2.5 billion in calendar 2020. The industry continues to deal with challenges relating to an oversupply of cannabis products, generally compressed wholesale gross margins, growing pains at provincial crown distributors and market volatility. Against this backdrop, we continue to believe that the growth rate in the Canadian cannabis market, and the global reform of cannabis laws, represents a generational market opportunity for companies like Delta 9 to grow and unlock significant value for investors. I'm pleased today to be presenting you with Delta 9's Q3 2021 financial and operating results. These results show continued upward trend in year-over-year revenues, gross profits, and consistency in the company's adjusted EBITDA profile. We have many positive takeaways from today's results, which we will highlight as well as analyzing our misses, the challenges we've encountered, and the changes we're making to continue to drive growth, and create shareholder value. We will begin with a discussion of operations and material milestones the company achieved over the reporting period. On the cannabis cultivation and processing side of our business, we'll begin with an update of activities at our Delta 9 facilities in Winnipeg. The primary purpose of these facilities is to cultivate, process and manufacture the highest quality cannabis products. The company's proprietary cannabis production methodology is based around a modular, scalable, and stackable production unit that we call our Grow Pod. In Q3 this year, the company had 297 Grow Pods licensed by Health Canada, and in operation within our facilities. We're now operating these assets at or above the original design capacity of the facility, and we're now beginning to assess efficiencies in terms of the number of harvest rotations per year, average grams per harvest and overall potency in order to maximize returns from these assets. We anticipate that once we've been able to maximize the efficiency of these assets, our production capacity will exceed the design capacity of approximately 8,325 kilos of dried cannabis per year. The company's purpose-built processing center, which was licensed in April last year, and allows for fully automated bottling, packaging, capping, and labeling functions for our consumer packaged dried cannabis products is now fully operational. We anticipate that once the processing center is operating at capacity, it will allow for processing of up to 25,000 kilos per year of dried cannabis flower material.  The company received approval in Q3 this year to expand our Health Canada license perimeter to 95,000 square feet from 80,000 square feet, including a new purpose-built 7,500 square foot Vault area, which will allow for more efficient distribution of Delta 9 branded products to provincial markets across Canada. We will continue to update the market on expansion progress as the company further develops its forward-looking expansion plans through 2021 and into 2022, and as licensing approvals are received from Health Canada. On our portfolio of cannabis products, there's been a significant amount of excitement in the cannabis space over the rollout of cannabis 2.0 and derivative products. However, dried flower and pre-rolls continue to demand over 70% market share by category in the Canadian marketplace, with much of the consumer demand into the high potency or high THC segments. Delta 9 currently produces approximately 30 different genetic varieties of cannabis, each with its own unique cannabinoid content, terpene and flavonoid profiles, and with another 100-plus strains being stored at an on-site seed bank to provide for future options for product development into the future. We're continuing with our production pivot towards higher-potency cannabis strains, which are the highest demand segment with the retail consumer. Cannabis pre-rolls became an increasingly important category last year as consumers moved to smaller packaging sizes and saw convenience in a pre-rolled setting. The company's pre-rolled products currently account for approximately 15% of our overall product offering by revenue with our Bliss and Twist pre-rolls making up 2 of our top 20 selling products in Delta 9 retail stores. In Q3 this year, Delta 9 launched new 14 pre-roll multipacks of our best-selling Bliss and Twist pre-rolls in the Manitoba and Saskatchewan markets. And the company plans launches of these multi-packs across additional provincial markets in the coming quarters. The company also plans to release several other pre-roll, and infused pre-roll products, in the coming quarters to increase our overall market share in this very important core. We plan to further invest in pre-roll automation in 2021 and 2022, which will increase our capacity to produce and distribute pre-rolled products across all of our markets. On oils, extracts and derivative products. Over 2020, Delta 9 saw a successful initial sell-through in our provincial markets for our cannabis 2.0 products, including ingestible cannabis oils, vape cartridges, and cannabis concentrates. In the second half of 2021, Delta 9 is relaunching all of its 2.0 product lines, including new products, new and improved formulations, and leveraging partnerships with the industry's leading white label suppliers to drive margin improvements. Our full 2.0 product portfolio will include multiple formulations of ingestible cannabis oils, multiple formulations of 5/10 vape cartridges, cannabis kief, pressed hash, and other product formats in the concentrate formats category. It's our belief that these categories will become an increasingly important component of the recreational use cannabis market into the future. In our retail stores, Delta 9 is carrying the full complement of new 2.0 derivative cannabis products from the industry's leading manufacturers. We believe that through our retail unit, we will be able to extract valuable intel on which of these new products are having a positive impact with the consumer, and be able to pivot to capitalize on these new product opportunities. Overall, 2.0 cannabis products became better supplied over the back half of last year and into 2021. They now comprise approximately 15% of overall retail revenues coming from these categories thus far in 2021. From a distribution standpoint, we believe the domestic market for recreational use cannabis, presents a major growth opportunity for us over the next several years. Wholesale revenues from the sale of recreational use products are expected to make up a large component of our overall revenue. The company has undertaken a strategy to add new distribution markets incrementally as our increased supply capacities come online in order to reach our ultimate goal of becoming an international distributor of recreational use cannabis products. Throughout the year, last year, we added multiple additional provincial markets, including Newfoundland and Ontario. We expanded our SKU selection across virtually all provincial markets that we participate in. And as of today, we are licensed in Manitoba, Saskatchewan, Alberta, British Columbia, Ontario and Newfoundland and Labrador, with these 6 provincial markets, representing over 50% of the Canadian population. As the company continues to increase our variety of products, we plan to expand our distribution into additional provincial markets through supply listings or formal supply agreements within those markets. On vertical integration and cannabis retail sales, we believe there are a number of benefits to pursuing a vertical integration strategy into retail, including giving us direct-to-consumer sales force and product distribution; control over consumer branding and marketing initiatives and a very restrictive marketing and advertising environment in Canada, capturing additional revenues and gross margin from retail sales, and receiving direct feedback from consumers regarding product trends, marketing strategies, et cetera. Over the past 12 months, Delta 9 has made significant progress in expanding its retail footprint. The company started 2020 with only 4 operating stores in our home province in Manitoba. As of today's date, Delta 9 operates 16 cannabis retail stores, having opened our first express store in the Portage Avenue area of Winnipeg earlier this year, a superstore in the Bunn's Creek Shopping Center in Northeast Winnipeg in Q1. And in Q2 opening our 12th store in the Northgate Shopping Center in North Winnipeg. In Q3, the company continued this aggressive expansion, opening stores in Selkirk, Manitoba; acquiring 2 stores in Edmonton, Alberta, and opening another superstore on Pembina Highway in Winnipeg, Manitoba. We would note that we believe the 2 store Edmonton store acquisition serves as an example of the accretive opportunities the company is pursuing as a part of our retail store expansion strategy as these stores were acquired at 0.48x trailing 12-month revenue, and only 3x trailing 12-month EBITDA. We will continue to pursue such opportunities to roll up profitable retail assets to add to our overall retail chain with the goal of becoming a top 5 Canadian cannabis retailer within the next 12 months. We plan to open and operate several additional cannabis retail outlets in jurisdictions, which allow for privatized cannabis retail over the next 15 months. Investors can look forward to numerous store openings and acquisitions through the end of 2021 and into 2022. Management is actively pursuing this retail expansion opportunity across all Canadian provinces that allow for privatized retail sales. On business-to-business opportunities, the company derives a portion of our overall revenues from sales of Grow Pods and from licensing, and consulting activities provided to other licensed and pre-licensed cannabis companies. We believe that these opportunities provide the company with a number of benefits, including a complementary business vertical, which provides diversified and high-margin revenue, third-party validation of the company's proprietary Grow Pod platform, creates valuable partnerships with other prelicensed and licensed cannabis companies, and provides the opportunity for international expansion and non-cannabis revenue streams. To date, Delta 9 has licensed 13 third-party facilities, representing over 130 Grow Pods for our micro cultivation partners across Canada. We're continuing to pursue and expand on these B2B revenue opportunities over the coming year. The company is also continuing its pivot to expanded sales and marketing efforts for its B2B business into the United States. We anticipate to see larger growth from our U.S. B2B sales into the fourth quarter and into 2022. On to the financial results. We'll begin with an assessment of the balance sheet. The company ended Q3 with approximately $3.8 million in cash, inclusive of the company's draw on its operating line of credit, and $8 million in working capital. This represents a decrease from $20.7 million in working capital as of the end of Q2, due in large part to 2 main factors. First is the closing of the 2 store Edmonton retail store transaction, requiring a cash outlay of approximately $1.7 million on closing. Again, we note that management expects this acquisition to be immediately accretive to the company. And the transfer of $11.8 million in face value debentures to a current liability from a long-term liability in the previous quarter. Management is in active negotiation with its lenders to refinance the convertible debentures and expects this balance sheet strengthening to be completed and announced in over the near term. Management has highlighted balance sheet strength as a major focus over the near term, and expect to update the market in the coming weeks on its debt refinancing activities.  Total assets as of the end of Q3 totaled $78.6 million, up from $74 million in Q2 this year. As the company's asset base has expanded over this year, we've maintained a healthy debt-to-equity and debt-to-asset ratio. The company has already begun planning for repayment and refinancing of its convertible debentures with maturity in July 2022 and continues to pay down principal on its term debt facilities.  We believe the company is currently well capitalized to continue to execute on its expansion plans, and can act opportunistically where assets become available, which can expedite expansion, provide strategic value, and improve the financial and operating performance of the company. On key performance indicators, management provides quarterly updates on the progress on our key performance factors for our business. In Q3 this year, the company produced approximately 2.4 million grams, up from 2.2 million grams in Q2 this year. As the company continues to improve its production efficiencies, we expect that these production numbers will continue to increase over the coming quarters.  Production costs and total cost per gram decreased to $0.58 and $0.73 per gram, respectively, versus $0.65 and $0.80 per gram in the previous quarter. We would highlight that these production cost figures are quite competitive even compared to our largest competitors in the context of the current cannabis flower market. We anticipate that the decrease in production cost per gram will translate into improved gross profitability into upcoming quarters. Total grams sold in wholesale this quarter were 1.2 million grams, down from 1.7 million grams in Q2 this year, however, we note that overall grams sold in the past 4 quarters represent a significant improvement over the previous 4 quarters. The company is continuing to expand its number of SKUs listed in our provincial markets, and we'll begin to report on a number of SKUs listed, cases sold, order fulfillment rates, and other wholesale KPIs in the coming year as these KPIs are formalized. We believe these new KPIs will continue to demonstrate that there is positive momentum in Delta 9's cannabis wholesale business. The company's average selling price increased modestly to $3.42 per gram in Q3 from $3.23 in the previous quarter. The company's average selling price remained steady between $3 and $3.50 per gram over the last number of quarters. We've now seen the average wholesale selling prices stabilize, and we feel that Delta 9 can reach sustainable profitability from wholesale cannabis sales at current levels. Continuing to address the company's wholesale business and improving overall grams sold and average selling price will continue to be a focus for us moving forward. We continue to see positive trending in a number of retail transactions processed, and we have seen retail activity in store and online increase from Q2 2021. Our average cart size of $42.85 per transaction in Q3 was down measurably from $46.89 in the previous quarter, and average cart size will be a key point of action for management in Q4 as we expect an uptick in overall shopping activity into the holiday season for the fourth quarter. Including our Investor web page, retail store, medical clinic, all of our online websites now see over 1 million unique website visitors per year. On revenue and revenue segmentation, total net revenues for the 3-month period ending September 30 were $15.2 million versus $13.1 million for the same period in 2020, an increase of 16%. Sequential quarterly net revenue decreased by 9% from $16.75 million in Q2 this year. Total net revenues for the 9-month period ending September 30 were $45.2 million versus $37.9 million for the same period last year and an increase of 19% year-over-year. From a revenue segmentation standpoint, for the third quarter this year, retail revenues increased 27% to $10.44 million. Wholesale revenues were $4.13 million, and B2B revenue was $1.1 million, down from $1.9 million in the previous quarter. We would point to year-over-year increases in net revenue positive indication that the company's diversified revenue and growth strategies have been able to contribute to overall revenue growth. In the upcoming quarters, we'll focus on 3 main initiatives to drive revenue growth, a continued expansion of the company's retail store chain while continuing to market the company's price leader strategy to generate customer acquisition at new and existing company stores, building continued momentum in our cannabis wholesale segment with a focus on expanding product distribution across our provincial markets, and expanding B2B revenues through a focus on creating relationships in the Canadian micro-cultivation industry, and expansion into emerging markets such as the United States. We continue to believe that given the relative novelty and uncertainty of the global cannabis industry, the company's diversified revenue and vertical integration approach will allow ourselves to better react to market challenges than our competitors with single business strategies. Gross profit before accounting for changes in the fair value of biological assets for the 3-month and 9-month period were $4.8 million or 31% of net revenue, and $13.4 million or 30% of net revenue. This compares with $3.1 million or 23% of net revenue and $11.6 million, 30% of net revenue for the same period last year. This also compares with $4.9 million or 29% of net revenue for the same period Q2 this year. Gross profitability improved by 8% versus the previous year. Management would note the increase in overall gross profit before changes in the fair value of biological assets is a positive indication of the company's ability to maintain and increase gross profit in a challenging market environment. In the company's wholesale cannabis business segment, we would note that as we continue to see downward trending in our price per gram production costs as a result of incremental efficiencies in labor and overall economies of scale. We expect that as production cost per gram continues to trend down and with the introduction of sales of higher-margin cannabis derivative products into the back part of this year and into the next year, the company will experience a general improvement in gross profitability from our wholesale cannabis segment. In the company's retail business segment, management anticipates that the addition of higher-margin cannabis extract products, which are making up a larger proportion of overall revenues into 2021, we'll again see expanded margins. The company would also highlight that once our B2B segment begins to produce more meaningful revenue contributions as a portion of overall revenue, the company's overall consolidated gross margin is expected to improve.  Highlighting gross profitability per segment for the first 9 months of this year, we see profitability -- gross profitability in our wholesale cannabis segment at 32%. In our retail segment at 28% and in our B2B segment at 40%, again, reflecting a 30% gross profit margin on a consolidated basis. Operating expenses for the 3-month and 9-month period ending September 30 were $6.3 million and $17.3 million. This compares with $4.2 million and $14 million for the same period of the previous year. The most notable increases in the 3-month period versus the previous year were amortization, an increase of $265,000 and personnel expenditures an increase of $1.2 million. The most notable increases in the first 9 months of this year versus the first 9 months of last again were amortization, an increase of $822,000, insurance expenses at $68,000, personnel expenditures of $1.8 million, and supplies and materials of $258,000. Overall increases in personnel expenses, the largest increase in cash expenses year-over-year mostly related to the increase in overall operating stores from 6 stores in Q3 last year to 16 operating stores in Q3 this year. The company's net loss from operations for the 3-month and 9-month period was $55,000 and $4.1 million. This compares with a net loss from operations of $4.5 million and $2.7 million for the same period last year. This also compares to a loss from operations of $800,000 for the 3-month period ending June this year. Management is confident that its renewed focus on revenue growth, gross profitability and prudent cost controls will return the company to profitability over the coming quarters. The company's adjusted EBITDA for the 3-month and 9-month period was $191,000 and $1.4 million. This compares with $210,000 and $1.4 million for the same period last year. This also compares with adjusted EBITDA of $1.2 million for Q2 this year. We would note that adjusted EBITDA for the 3-month and 9-month period remained consistent versus the previous year I would highlight the positive adjusted EBITDA for the period as a meaningful indication of the relative strength of the company's overall operating results in the context of the overall weakness in the Canadian cannabis market. As we look forward to the balance of the year for 2021 and into 2022, management feels the company is well positioned to continue to execute on its vertical integration and growth strategies. In our production and wholesale segment, the company will continue to push forward to maximize the utility and efficiency of our existing assets, increase production output, and increase our ability to supply volumes of consumer package, and branded cannabis products across all of our markets. From here, the opportunity to grow either through further capital spending and expansion or through acquisition of assets, brands, and complementary products. In our Retail segment, we will add to our retail distribution capacity by adding new stores to our existing chain. We will continue to position as a retailer of choice both for retail customers and suppliers, seeking the best locations and positioning as the most competitive LP-owned retailer in the cannabis space. And in our B2B segment, we will continue to cultivate long-term and value-added relationships with our B2B customers as we deliver on Grow Pod projects across North America, while deploying our resources into international markets to position our non-plant touching businesses to realize growth in the ever-growing global cannabis opportunity. I want to thank everyone for taking the time to join our call this morning. And with that, I will turn the call back over to the operator for questions.
Operator: [Operator Instructions]. Your first question comes from Ven Ve of Research Capital.
Venkata Velagapudi: First of all, congrats on the good quarter. So I have a couple of questions for Delta 9. So we have seen that the inventory is at $20 million for Delta 9. So can you provide more color on this or something like -- is there a breakup between inventory for retail and wholesale operations?
John Arbuthnot: Ven, and good question. So a few factors here, and I don't believe there is a breakdown within the notes in the financial statements on the distribution of inventories between our retail and wholesale segments. But speaking generally, as we have seen a slowdown in our cannabis wholesale revenue into the period, and we would attribute that to effectively -- a lowering of inventory levels across a few of our key provincial markets. We have seen a proportionate increase in both finished goods inventory as well as biological asset and work-in-progress inventory in our cannabis wholesale business. We've also seen a modest uptick in our Grow Pods for resale. We anticipate, I'll say, accelerated business activity and revenues from our B2B segment into the fourth quarter and into early next year. We also are generally carrying between 6 and 8 weeks of inventory as of the end of the period, and we did see larger purchases right near the end of the reporting period in our retail segment. Overall, though, I think seeing $19.9 million close to $20 million in inventory at the end of the reporting period is not overly concerning given the company's revenue, again, trending between the $15 million and $20 million a quarter level, and anticipated to accelerate in the coming quarters. So we don't overall feel that there's concern in the overall inventory levels, and we'll obviously look to monitor that to ensure that the company's capacity is producing inventory levels that are matching our overall revenues.
Venkata Velagapudi: That's great. And can you provide more color on your retail expansion plans, like which provinces are you targeting over the near term?
John Arbuthnot: Yes. Good question. Manitoba our home province, obviously, will continue to be a focus for expansion around organic store builds likely through the middle of next year, which is where we see the market reaching, what we feel would be the saturation point in terms of the overall number of retail stores, and at that point, beginning to provide more diminished returns in terms of capital allocation. The Alberta market will be a key focus for us in terms of expansion through acquisition, again, highlighting the 2 store, Edmonton store acquisition, which occurred within the quarter. We really feel that this is the model or template that the company will look to undertake in terms of expansion through acquisition in provinces like Alberta and Saskatchewan. So the Prairie provinces will be a focus for us over the coming year and through the balance of 2022. Again, look to strongly position ourselves as a top 5 Canadian retailer across those provinces. We do also then feel that there is opportunity in provinces like Newfoundland, where private retail, again, is a possibility. Or under more of a quasi franchise model into markets like Ontario and BC, although I would say that the company's activity in terms of sourcing, those quasi-franchised or minority ownership opportunities into BC, Ontario are more preliminary at this stage, while the core focus remains the Prairie provinces.
Venkata Velagapudi: Okay. That's great. So how should we look at the sequential dip in your wholesale revenue despite an increase in your retail presence? Do you think this is temporary? Or is there any structural reason behind this?
John Arbuthnot: A few factors playing in there, then I think we're still seeing well upwards of 50% of the company's overall wholesale revenues are through non Delta 9 sales channels, i.e., outside of our own retail chain. So we are still heavily reliant in terms of wholesale revenues on third-party retailers and distribution across the varying provinces in which we are active in wholesale. What the company anticipates is that as we continue to expand that retail chain and expand revenues to be north of $50 million, north of $100 million in cannabis retail revenues that we'll see more overall consistency in our wholesale revenues as we'll see less of an ebb and flow dictated by purchasing patterns at crown distributors, and more so the ability to pull product through our own retail chain.  We've been very consistent in the last number of quarters. in terms of overall retail revenues that are Delta 9 products by percentage, and that's come in at between 24% and 26% over the last number of quarters. So we are and remain confident that as we expand that retail chain, the overall volatility in the company's wholesale revenues will then decline and become more consistent.
Venkata Velagapudi: And last question, this is about broader industry in Alberta. We have seen that recently, Bill 80 was proposed in Alberta's legislation. So how do you I think Delta 9 is ready to capitalize on this? And I think based on this bill cannabis retailers in Alberta will be allowed to sell online. And the retail -- provincial regulatory is going to close down the operations.
John Arbuthnot: Yes. Obviously, exciting opportunity for us. Retail online revenues in the province of Manitoba, where we are primarily active currently represents about 8% of retail revenues, and that's up from less than 5% prior to COVID-19, although down from the peak COVID online activity, which peaked close to 10% to 11% last year. So a huge opportunity for the company. I think, to begin to expand our online into those channels. I would say that Delta 9 is ideally positioned, given we have that very active retail online segment already through our Manitoba infrastructure. It will require some tweaks to our Alberta operations to allow for e-commerce but again, I would say that the company is ideally positioned, given our experience, also ideally positioned, I think, versus the smaller independent or call them one-off mom-and-pop retailers who will not be able to become significantly active in the online segment. So I think this becomes another competitive advantage for retailers that are looking to scale within those markets, and create larger provincial brand presence in markets like Alberta. Where, again, we feel that, that will be a bulk of the company's focus for expansion in retail.
Operator: [Operator Instructions]. There are no further questions on the phone lines. Mr. Arbuthnot, I'll turn the conference back over to you, sir. Please proceed.
John Arbuthnot: Perfect. There being no further questions this morning. I want to thank everyone for taking the time to join us for Delta 9's Q3 earnings call. And everyone, have a nice day.
Operator: Ladies and gentlemen, this concludes the conference call for today. We'd like to thank you for participating and ask that you please disconnect your lines.